Operator: Good morning, and welcome to the American Express Global Business Travel First Quarter and Full Year 2025 Earnings Conference Call. As a reminder, please note today's call is being recorded. I'll now turn the call over to Vice President of Investor Relations, Jennifer Thorington. Please go ahead
Jennifer Thorington: Hello, and good morning, everyone. Thank you for joining us for our first quarter 2025 earnings conference call. This morning, we issued an earnings press release, which is available on sec.gov and on our website at investors.amexglobalbusinesstravel.com. A slide presentation, which accompanies today’s prepared remarks is also available on the Amex GBT Investor Relations webpage. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including industry and macroeconomic trends, cost savings and acquisition synergies, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these and other risks and uncertainties is contained in our earnings release issued this morning and our other SEC filings. Throughout today's call, we will also be presenting certain non-GAAP financial measures, such as EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted operating expenses, free cash flow and net debt. All references during today's call to such non-GAAP financial measures have been adjusted to exclude certain items. Definitions of these terms and the most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the supplemental materials of this presentation and in the earnings release. Participating with me on the call are Paul Abbott, our Chief Executive Officer and Karen Williams, our Chief Financial Officer. Also joining for the Q&A session today is Eric Bock, our Chief Legal Officer and Global Head of M&A. With that, I will now turn the call over to Paul. Paul?
Paul Abbott: Thank you, Jennifer. Welcome to everyone, and thank you for joining our first quarter 2025 earnings call. I'd like to kick off with some key points we want you to take away from today's call. First, we continue to deliver really strong results in the first quarter with 15% growth in adjusted EBITDA, 260 basis points of margin expansion and a 9% increase in free cash flow. We are delivering on the commitments for strong earnings growth, margin expansion and cash generation. Second, we have diverse, resilient revenue streams. Very high customer retention and consistent share gains. Our Q1 performance demonstrates these very strong fundamentals. Third, we have a strong and flexible operating model that allows us to adapt to a range of economic conditions. We have a proven track record of cost control and margin expansion that positions us well to manage through more uncertain economic conditions. And finally we are continuing to invest to drive sustained growth with confidence in our long-term growth prospects. There is obviously more economic uncertainty and as a result, less full year visibility. But we have delivered strong Q1 results and a solid guide for Q2. Our approach to a slower growth environment is to remain laser-focused on what we can control: share gains, margin expansion, cash generation and driving shareholder returns. Turning to the first quarter highlights. We delivered strong adjusted EBITDA and cash flow growth, an impressive margin expansion in line with our commitments despite a slower demand environment. Our value proposition to provide customers more savings and control over their travel spend becomes even more valuable in a weaker economic environment. We continue to gain share with an accelerated pace of new wins, and importantly, we maintained a very high level of customer retention. We have previously talked about our capital allocation strategy, and we are executing exactly what we said we would do to drive shareholder value. We've lowered our leverage ratio, received 2 credit rating upgrades and amended our CWT merger agreement to reduce the original purchase price and the number of shares issued. The current environment doesn't change our longer-term strategy or our earnings power. We believe our resilient and flexible business model will demonstrate that we are the preferred industry investments during this cycle and for the long run. Taking a closer look at the financial highlights of the first quarter. Growth rates provided here are on a constant currency workday adjusted basis. Total transaction volume was up 4%, driven by increased demand for business travel and our share gains. TTV or total transaction value, which reflects both volume and price grew 5% to reach $8.3 billion. This was driven by transaction growth and modestly higher average ticket prices and hotel room rates. Revenue was up 4% to reach $621 million for the quarter, driven by solid growth in transactions and TTV and increased demand for our products and professional services. Although these top line results were solid, they were roughly 1 percentage point softer than we expected coming into the year due to a modest slowdown in organic transaction growth. However, our focus on margin expansion and operating leverage resulted in adjusted EBITDA growth of 15% to $141 million, in line with what we said we would deliver, with strong margin expansion of 250 basis points. Turning to the workday adjusted transaction growth in more detail. Just as a reminder here, for organizational purposes, we divide our customer base into two general categories: global multinational and small and medium enterprises. We don't have products or services that are offered solely to one size of customer. Customers of all sizes may prefer different solutions. Some larger customers may prefer a simpler approach, while some smaller customers may prefer a more bespoke, high-touch global solution. Transaction growth was relatively stronger with global multinational customers, up 6% in the quarter. We saw stronger growth in financial services, pharma and industrial sectors, and the broad range of industries that we serve brings us diversification to our revenue streams. SME growth remained slower at 2%. As we previously described, SME customers have tightened spending controls in a broader trend for SME businesses beyond just travel spend. Growth in domestic air and regional and international air transactions were both up 2%. Our U.S. air TTV growth was 3% in the quarter, in line with the commentary provided by the major U.S. airlines on corporate spend growth. We are also well diversified from a supplier perspective with hotel becoming an increasing share of our revenue. Growth in hotel transactions continues to outpace air at 5% versus 2%. This reflects industry trends and also our focus on increasing our volume of hotel bookings as we continue to strengthen our hotel content and display and provide customers with more hotel value and more choice. Finally, on a regional basis, transaction growth was 3% in the Americas, 4% in EMEA and Asia Pacific continues to outpace the rest of the world at 7%. So turning here to the commercial highlights. Our solutions provide complete visibility and control over travel spend and our marketplace provides access to the most comprehensive and competitive content to deliver customers significant savings. Plus, we've also maintained our ability to invest through different economic cycles. Because of all of this, we have historically seen strong sales performance and the flight to quality during more challenging macro environments. In the first quarter, we continued to gain share. We said our total new wins value would accelerate in Q1 and it did to a total of $3.2 billion over the last 12 months and importantly, these share gains are on a very strong foundation of impressive customer retention of 96% over the last 12 months. Our value proposition is clearly resonating with SME customers, which represents our biggest growth opportunity. SME new wins value totaled $2.3 billion over the last 12 months, more and more SME customers recognize the benefit of a managed travel program, with our number of unmanaged SME wins, up 8% year-over-year. We continue to invest in technology transformation, including automation and AI to improve the customer experience and increase productivity. Let me provide clarity on the actions that we're taking with our operating costs and productivity gains and what makes our earnings less sensitive to softening economic conditions. In the first quarter, 81% of our transactions came through digital channels. Growth in digital channels was 5% year-over-year on a workday adjusted basis, and outperformed overall transaction growth as we intentionally drive higher mix of these more profitable, higher-margin digital transactions. Over 60% of our digital bookings came through on our own software platforms, Neo and Egencia. Owning our software platform is a significant competitive advantage. We've proven that we can improve the user experience and accelerate the share of digital transactions using AI and machine learning to improve productivity and reduce costs. Adjusted operating expenses declined 1% year-over-year, even with incremental investments in future growth, and Traveler Care productivity went up an impressive 7% year-over-year in the quarter. The end result, 260 basis points of adjusted EBITDA margin expansion, a powerful demonstration of our cost control and productivity gains. Finally, regarding the CWT transaction, we announced an amended merger agreement. The highlights are an extended deadline to provide the parties with additional time to defend the lawsuit filed by the DOJ as necessary, and a revised transaction value with a reduction in the number of shares expected to be issued from approximately $72 million to approximately $50 million. And now I'd like to hand it over to Karen to discuss the financial results and the 2025 outlook in more detail.
Karen Williams: Thank you, Paul, and hello, everyone. In the first quarter, we continued to execute against my three key priorities in terms of managing our financial performance. We accelerated cash flow generation, drove operating leverage and continued margin expansion and importantly, continued to invest. This formula has driven amazing progress and strong financial results. It gives us confidence as we navigate through a more uncertain macroeconomic environment. So now let's turn to our financial performance in more detail. We continue to control what we can control and deliver on our commitments. Whilst transaction and revenue growth was about 1 percentage point below our expectations coming into the quarter, we still delivered adjusted EBITDA, adjusted EBITDA margin and free cash flow in line with the expectations we previously communicated for Q1. Revenue reached $621 million, up 4% year-over-year on a constant currency, workday-adjusted basis. On a reported basis, revenue was up 2%, reflecting a negative impact of 1 percentage point from FX and of 1 percentage point from fewer work days. Revenue yield, which we define as revenue divided by TTV was 7.4%. As expected, this was down 8 basis points year-on-year, reflecting the non-TTV-driven components of the revenue base and a continued shift to digital transactions, which has a positive impact on our adjusted EBITDA margin. And as a reminder, Q1 is seasonally a lower revenue yield quarter. Now let's turn to total operating expenses. I am incredibly pleased with the momentum we are seeing across the enterprise when it comes to our focus on costs and increasing productivity. We are clearly doing more with less. Adjusted operating expenses were down 1% year-over-year, driven by our cost-saving initiatives and productivity improvements. This enabled us to make continued investments in technology, content, sales and marketing to drive future growth and productivity. It is also worth noting that we had a favorable FX impact, as previously discussed, given the natural hedge between revenue and expense, the impact to adjusted EBITDA is neutral. Putting these together, adjusted EBITDA grew 15% to $141 million, and our adjusted EBITDA margin grew an impressive 260 basis points year-over-year to reach 23%. We saw continued momentum when it comes to cash and generated $26 million of free cash flow in the quarter, up 9% year-over-year. Moving to the balance sheet. Our leverage ratio of net debt divided by last 12 months adjusted EBITDA continue to deleverage to 1.7 times as of March 31, 2025. And as discussed on our last earnings call, we refinanced the entirety of our debt at the start of the quarter, lowering our interest rate by 50 basis points with the new term loan facility priced at SOFR plus 2.5%. And finally, but importantly, I am very pleased that we received 2 credit rating upgrades in the quarter from Moody's and S&P. These upgrades are recognition of our strong momentum. Our powerful financial model is more important than ever in an uncertain macroeconomic environment, and that is why we believe GBTG should be a preferred industry investment. We're confident that with our strong financial model, adjusted EBITDA will continue to outpace revenue growth. We expect business travel demand from our premium customer base to grow above GDP. Additionally, we expect to continue to grow ahead of the market by driving share gains with our differentiated value proposition. Our laser focus on operating efficiency, disciplined cost management and quite frankly, a track record here creates a significant runway for margin expansion, particularly as we leverage AI and automation. From a capital deployment perspective, we are incredibly focused on value creation. Our strong free cash flow generation can fund important incremental growth opportunities and M&A. And finally, but importantly, we are in a very strong position to return cash to shareholders. And so building on this in a little more detail. There are three key business attributes that make us confident and give us the stability to navigate through a period of uncertainty. First, our resilient and diversified revenue model. As a reminder, when airlines need to use price to stimulate demand of fill seats, 70% of our revenue is protected because it is volume-based or recurring product and professional services revenue, and only 30% moves in line with air fares and hotel prices. Furthermore, our revenue is roughly balanced between customers versus suppliers and the U.S. versus the Rest of the World. Because of this, we are less exposed to downturns through our suppliers during the economic cycle. The second attribute is a strong operating efficiency. And as I just mentioned, we have a clear track record in cost reduction. We came into this year with plans for $95 million in cost savings, but in light of current conditions, we have further increased the cost savings to a full year target of approximately $110 million in 2025. Paul discussed the progress we are making in our technology transformation strategy. We are intentionally growing our mix of digital transactions because it is more profitable. The efficiency we are achieving on the bottom line results in really strong incremental margins as new volumes flow through our platform. The third attribute is value creation opportunities. We have a strong cash balance of $552 million as of March 31, 2025, and over $900 million in available liquidity. This enables us to continue our investments in share gains, our software platforms, automation and AI. The macro environment doesn't have us reconsidering these investments. We have strong investment capacity and plan to invest an incremental $50 million this year in these initiatives. This incorporates CapEx productivity saves, where we are doing more with less, an updated OpEx spend phasing versus our previous expectations. Our business needs investment to accelerate growth and an uncertain macro environment, this plays to our strength. We have a strong balance sheet and incremental M&A drives value, particularly given our track record in delivering synergies with an experienced integration team. And finally, we have a $300 million share buyback authorization in place. Turning to the current transaction growth trends and customer outlook, we have no direct impact from tariffs. The headwind we are experiencing is from slower macroeconomic growth and its impact on our organic transaction volume. The trends have stabilized, and this is in line with the commentary you are likely to have heard from the major U.S. airlines. Transaction growth is currently trending flat year-over-year. This is down roughly 5 percentage points versus our expectations coming into the year, but we are not seeing any further signs of deterioration. The trend is based on looking at March and April together to normalize the Easter timing impact, consistent with our approach in prior years. Across the top five verticals, which account for approximately 70% of GMN transactions, we are seeing positive or broadly flat year-over-year growth. Six of our 15 U.S. GMN industry verticals sequentially improved from February to March and April, including IT, business and Professional Services and Pharma. However, two were largely flat and seven industries declined with a sequential slowdown in the sectors more exposed to tariffs, including consumer and automotive. A bright spot is our Meetings and Events business, which tends to be a forward indicator. We are currently seeing a 2% year-over-year increase in the number of meetings, an 8% increase in spend for full year 2025. Cancellation levels are in line with previous years. And so in our most recent survey of our top 100 global multinational customers, customer sentiment has moderately declined. Overall, 6% of the top 100 global multinational customers have put new budget controls in place since the April 2 tariff announcement. And so in light of this backdrop, let's move to our guidance. We are hitting the mark on what we can control. Our expectation for new wins remain unchanged and in fact, we have actually increased our cost savings. However, the macro environment is softer than we expected coming into the year and it is important to reflect the resulting slower organic travel growth. So let me be clear about the assumptions we are taking, and I will focus on the midpoint of our guidance. Because of our near-term visibility into Q2, we thought it helpful to provide Q2 guidance today. Our approach to guidance is based on a weaker economy and built on the assumption that the flat transaction growth we have seen over March and April continues. The flat workday adjusted transaction growth assumption is driven by a modest decline in organic transactions, offset by new wins. This results in Q2 midpoint expectations for $625 million in revenue or roughly flat year-over-year with adjusted operating expenses down modestly year-over-year. This includes our incremental investments demonstrating rigorous cost control. So importantly, strong adjusted EBITDA margin expansion continues, and therefore, we expect adjusted EBITDA to grow faster than revenue. We are guiding to $130 million in adjusted EBITDA at the midpoint, up 2% year-over-year and reflecting 50 basis points of margin expansion. So now let's turn to what that means for our full year 2025 guidance. Our updated guidance has changed to reflect the softening in current conditions and its impact on our organic transaction growth. The key message is our strong adjusted EBITDA margin expansion continues. We are bringing full year 2025 revenue down by just 4%, and adjusted EBITDA guidance down by just 6% at the midpoint, with the upper end, largely in line with the previous adjusted EBITDA guidance to this point. So our baseline assumption is now for flat total transaction growth for the full year. The breakdown is a 2% decline in organic transactions, offset by 2-percentage points positive impact from new wins. We are confident in our new wins and this assumption is unchanged. So overall, the midpoint of our guidance reflects flat revenue. This updated guidance assumes a neutral foreign exchange impact but as we have said previously, because of the natural hedge between revenue and operating expenses, changes in currency assumptions did not impact adjusted EBITDA. Accordingly, we are also updating our full year adjusted EBITDA guidance to reflect lower organic transaction growth, at a fall-through of about 65%. So clearly, we will exercise firm cost control with a total of $110 million in cost actions to protect our earnings and cash generation. But importantly, we are continuing to invest and expect to continue benefiting from the impressive productivity gains we have discussed. We are now guiding to full year midpoint adjusted EBITDA of $510 million, representing growth of 7%. Strong margin of 21% and margin expansion of 130 basis points. The takeaway is we still expect healthy adjusted EBITDA growth even with a softer economic environment. And finally, but very importantly, given our focus on cash, we still expect to generate a strong level of free cash. We are now guiding to full year free cash flow of $140 million at the midpoint, which is $190 million on an underlying basis, excluding the nonrecurring M&A-related costs we spoke about previously. So I want to end by reiterating our capital allocation priorities. Our first priority is continued cash generation. We are now guiding to the full year free cash flow of $140 million at the midpoint. As just highlighted, this is $190 million on an underlying basis, representing a free cash flow conversion rate, 37% of adjusted EBITDA. Second, continuing to deleverage. We expect our leverage ratio to remain at the bottom end of our target leverage ratio of 1.5 times to 2.5 times. We have a strong and flexible balance sheet with a cash balance of $552 million and over $900 million in available liquidity at the end of March. Third, our strong balance sheet gives us capacity to invest. While we are carefully managing our expenses, we are still increasing investments in areas that deliver more value to customers and make us a leading B2B software and services company. This includes investing in our marketplace and products to continue enhancing the customer experience, sales and marketing to drive growth and AI and automation to drive further margin expansion and efficiency. As mentioned, we expect to invest an incremental $50 million this year. Fourth, with respect to M&A, we amended our merger agreement for the CWT acquisition, including a reduction in the number of shares expected to be issued. We remain confident in the merits of our position in the lawsuit initiated by the DOJ and remain prepared to prove this in court, if required. The -- financing is primarily stock we expect to remain within our target leverage range following the transaction close. And finally, given our current stock price, which we believe is significantly undervalued, as well as our leverage and cash position, we are in a position of strength to execute against our $300 million share buyback authorization and return cash to shareholders. So our capital allocation strategy remains the same, and in a weaker environment, M&A and share buybacks become even more accretive. So track things up, our first quarter performance was strong, our resilient revenue model and strong operating leverage positions us to continue to drive shareholder value. With confidence in our long-term growth prospects and our approach to a slower growth environment is to remain focused on what we can control, share gains, margin expansion, cash generation and shareholder returns. We can now move into Q&A. Paul and I are joined by Eric Bock, who is our Chief Legal Officer and Global Head of M&A. Operator, please go ahead and open the line.
Operator: Thank you.[Operator Instructions] First question comes from Peter Christiansen with Citigroup. Your line is open. Please go ahead.
Peter Christiansen: Thank you and good morning. A couple of questions. Paul, I was just curious, have you witnessed any trade down and accommodations by your underlying clients? Are people switching to cheaper alternatives, lights, what have you -- are you seeing any of that?
Paul Abbott: Not really at this stage, Pete, but thank you for the question. If you kind of dig into the trends, you will see that our premium and international volume actually held up better than domestic, so you are seeing stronger growth in premium international groups and also stronger growth in premium hotel occupancy. So we are seeing the sort of premium nature of our customer base, grow faster. And as you saw in the presentation, we did still see in Q1 a very slight increase in overall average ticket price at average daily hotel rates so one percentage point. So a moderate price increase, but still a 1% increase over the quarter.
Peter Christiansen: That's a good takeaway. And then curious if you just juxtapose. It looks like SME new wins rose in the quarter, which is nice to see. At the same time, I think you called out you're seeing lower transactions coming out of that segment. Just wondering if there's two stories there to tell. And then finally, if you could just comment on what's the next milestone or date for the CWT merger process? Thank you.
Paul Abbott: Yes, sure. I'll take the first one and then I'll give the second one to Eric, who's with me here. With SME, I think it's important to remember that really over the last four or five quarters, we've seen a lower level of organic growth within the SME segment so the new wins are definitely making a difference. And actually we've gone from flat growth to plus 1 to plus 2. So we are seeing some sequential improvement, actually, but it's off a lower base because SME customers have tightened their belts after, frankly, long periods of inflation and higher interest costs. We know that, that has impacted SME spending more the larger customers. And we see that trend across all industries outside of travel. I've referenced before. If you look at the American Express commercial card payment data, you'll see that the SME spend growth has been lower than larger customers for several quarters. So we are seeing the impact of new wins, but it is off a lower level of organic growth in that segment.
Eric Bock: And Pete, on the CWT transaction, we're working through the fact discovery process, that will be complete in early June, and then we're into trial September 8 and hope to complete that by the end of September, October time frame and close by the end of 2025.
Peter Christiansen: That's great. Thank you both. Very helpful.
Eric Bock: Thanks, Pete.
Operator: Our next question comes from Lee Horowitz with Deutsche Bank. Your line is open. Please go ahead.
Lee Horowitz: Great, thanks for the questions. I'm sorry, just now you as mentioned earlier, we're juggling a couple of things. But can you comment at all on how the macro environment evolved intra-quarter in terms of linearity. Have things stabilized at this point at your customer base? And what are your conversations with your clients indicating as it relates to their expectations in the second half of the year? Is sort of a recession base case scenario at this point, or people leaving -- entertaining the idea that there could be some growth positive outcomes as we move through the year and to help across that would be great. Thanks so much.
Paul Abbott: Yes, look, thanks, Lee. I think if you step back and look at what we are seeing in our business through Q1, we saw a different pattern by sector. We saw financial services and tech actually with double-digit growth rates. We saw business services, professional services around the mean. And then some sectors, energy, mining, marine, automotive were softer and those industries are obviously more exposed to tariffs, so there is a view by sector. But I think when you look at the overall picture, you step back and look at the survey results from the top 100 customers I would say the main takeaway is most customers are in a sort of wait-and-see mode. They're not overreacting to the situation. We had a very moderate increase in the number of customers that made changes to their travel policy or change in their approval processes or change their travel budget. There was just a 6% change in the number of customers that had a change to their policy and I think what we're focused on Lee is, not really measuring sentiment because, frankly, what -- how people feel is actually not that reliable. We're trying to be much more focused on what people are actually doing. So are you changing your budget? Are you changing your policy? And when you look at what people are actually doing, there is a very moderate change. And so I think the best way of describing it is that vast majority of customers are in that sort of wait-and-see mode. I think another thing I would draw out is our Meetings and Events business. We have a longer-term view in Meetings and Events because obviously, the nature of that business is people are often booking 6 months, 9 months, 12 months in advance and so we do use that part of our business as a sort of a leading indicator. And when you look at the M&E business, we're still seeing a 2% increase in the number of meetings for full year 2025. There's an 8% increase in spend year-over-year in meetings and events and if you look at look at the cancellation rate, it's flat. It hasn't changed. So I think all those data points, when you put them all together, they sort of support that underlying thesis that I shared with you earlier, which is the vast majority of customers are in a weaker, but stable environment.
Operator: [Operator Instructions] We will now turn to Stephen Ju with UBS. Your line is open. Please go ahead.
Stephen Ju: Great. Just to kind of follow up on the earlier sort of macro backdrop question. I would imagine sales cycles can potentially elongate in the environment as CFOs probably hit the pause button on various things, so it's probably more important for GBT to share the value add, especially versus competitors as you going RFPs and/or to renew deals. So what are some of the steps that you can take to potentially increase the value proposition to your clients and customers? Thanks.
Paul Abbott: Yes. Thank you, Stephen. Actually, we don't generally see that through previous economic cycles and actually even through the pandemic, we actually saw decisions and the pipeline stay pretty robust. What we have seen in previous, I would say, more difficult macroeconomic conditions is we do see a flight to quality, and we do see our new sales accelerate. And if you step back and think about what we actually do, we help customers save money. We get them access to the most comprehensive -- the most competitive content in the entire travel industry. We give them access to savings. We give them complete visibility and control over their travel spend in an environment where customers are more focused on operating expenses, that strengthens our value proposition. And so I would expect no change. In fact, I would expect an improvement in our new sales performance through the cycles. And that's frankly what you saw in Q1. I mean we said that our new sales performance would accelerate coming into the year, and it did.
Stephen Ju: Thank you.
Operator: We now turn to Duane Pfennigwerth with Evercore ISI. Your line is open. Please go ahead.
Duane Pfennigwerth: Hey thanks, good morning, good afternoon. I wanted to see if you could play back and sorry, we're juggling multiple calls also. So apologies if you are repeating this. But, can you contrast a little bit U.S. volumes versus rest of world volumes? And then maybe just play back the cadence of the first quarter and if you've seen any signs of stabilization or pickup here in April, May?
Paul Abbott: Okay, thanks. Well, you have seen in the presentation that if you look at the growth rates by region, the U.S. was at 3%, or the Americas was a 3%, EMEA at 4%, APAC at 7%. And in previous quarters, we've always seen the Americas ahead of EMEA. So you have seen a relative slower performance in the Americas but you do have to point out that the positive impact from Easter in March is actually greater in Europe than it is in the U.S. Having said that, there's another point that I made earlier, which is that domestic travel definitely was slower through Q1 than international travel. And obviously, domestic is a much larger part of our U.S. sales volume. So for those two reasons, we have seen more of a slowdown in the U.S. than other regions, but there's not much in it, Duane, right? If you actually look at it on a relative basis, it's pretty similar across Europe and the U.S. And really the issue is more domestic versus international for us that's the bigger theme. Look, as things evolved through March and April, obviously, with the calendarization of Easter, if you look at individual weeks, or even March and April in isolation, it can be quite misleading so what we do is we put March and April together to really assess the trend. And then we also look at the individual weeks year-over-year, so Easter week, prior week, Easter plus 1, Easter plus 2. And if you apply both those lenses, you end up with the same answer, which is that actually, on a workday-adjusted basis, normalizing for Easter, that growth rates have been stable through the last 7 weeks, 8 weeks.
Duane Pfennigwerth: That's helpful. And then just on government, I know you have very, very limited exposure, but I do wonder if you have a window into government adjacent, things like consulting or aerospace, and it's actually a very similar question. Are you seeing any signs of stabilization or pickup in government adjacent? Thank you for taking the questions.
Paul Abbott: We don't have a great window into that, Duane, to be honest, because less than 2% of our volumes are directly associated to government travel. So we don't really have, I'd say, a clear and accurate read on that. I think probably some of the numbers that have been shared by the U.S. airlines that have direct contracts with government agencies, probably a better read than what we would be able to give you.
Duane Pfennigwerth: Okay. How about just very large multinational consulting?
Paul Abbott: Yes. Business services and professional services are kind of, I would say, at the mean. So if you look at the performance by sector, financial services, tech were the strongest growing sectors in the double-digit range. Business services and professional services were at the average through Q1. And then we had sort of energy, mining, marine, automotive that were softer and actually pharma was a little softer for us as well, but that's been, frankly, a structural issue pre-tariffs. So yes, business services are essentially at the average in terms of growth rates through Q1.
Duane Pfennigwerth: Thank you.
Operator: We now turn to Toni Kaplan with Morgan Stanley. Your line is open. Please go ahead.
Yehuda Silverman: This is Yehuda Silverman on for Toni Kaplan. So you've mentioned that 6% of customers have put new budget restrictions in place. As many are in wait and see mode, is this a number that's expected to increase or do you have any insight into how you're viewing this phase for the next quarter?
Paul Abbott: Well, I think that's going to depend on how the macroeconomic conditions evolve. I think if the macro conditions continue to be weaker, but stable, then I think we will see limited change to that picture. What we've seen historically for decades is that business travel, frankly, grows at or slightly above GDP so that is going to directly relate to how the macroeconomic conditions evolve. And as I think we mentioned in our prepared remarks, our base assumption for the guidance that we're giving is that the current environment continues that it is a weaker, but stable environment.
Yehuda Silverman: Great. So sort of just a follow-up to the midpoint of the guide. So what are some scenarios where are you seeing that would impact the low end or the high end of the guide, what would need to happen to get the either part of it?
Paul Abbott: Well, I think we mentioned the sort of base case to the midpoint, is that the current conditions continue and that is that we have seen over the last 60 days, a week or a stable demand environment. So that's our sort of base case for the midpoint. But look, there is certainly a scenario that some of the uncertainty around tariffs starts to dissipate that there is a more stable and clearer economic picture and that growth rates actually begin to improve through the second and third quarter. And if you look at the fundamentals, particularly in the U.S. economy, unemployment is low. The overall economy coming into the year was strong. So the underlying fundamentals, I think, are still very solid, and I think corporate profits have remained strong as well through Q1. So look, I do think there is a scenario where the macroeconomic environment becomes more stable. Companies have greater visibility through the second half of the year; confidence returns and growth rates go back to a similar level to the level that we saw in Q1. And that effectively takes us to the upper end of the guidance range that we shared with you, which was essentially the midpoint of our previous guidance.
Yehuda Silverman: Great. And just one quick clarification question on your incremental spend. So I believe you mentioned $50 million in incremental spend into investment. Was that $65 million last quarter. I was just wondering if you could expand on if there's a difference there having incorrectly?
Paul Abbott: Yes. Karen, do you want to pick that one up?
Karen Williams: Yes. Sure, I can take that. Essentially, we talked about two things. So one is a $15 million increase in terms of our cost actions. So last quarter, we talked about $95 million of cost takeout in 2025. This has now increased by $15 million based upon just our continuing focus around productivity, efficiency [indiscernible] AI and how that's helping low-cost locations so we've increased that by $15 million. On the investment side, we previously talked about $65 million, we've reduced that down to $50 million. And you should think about that as that $15 million reduction pretty much equally split between CapEx and OpEx as you think about that. And that is essentially -- it's not about a reduction per se, it's about the productivity -- on CapEx productivity. So we're doing more with less. And so we can find those efficiencies, and from an OpEx perspective, it is really just the updated phasing in terms of that spend.
Yehuda Silverman: Alright, thank you.
Operator: We have no further questions. I'll now hand back to Paul Abbott for any final remarks.
Paul Abbott: Great. Well, look, thank you to all of you for joining our first quarter conference call. I'd like to close by thanking all of our teams around the world for their hard work and their dedication to our customers, and we appreciate your interest in the company. Thank you very much.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.